Beatrix Martinez: Good morning, everyone. I’m Beatrix Martinez, Dassault Systèmes VP, Investor Relations. From the company we have Pascal Daloz, CEO; and Rouven Bergmann, CFO. I would like to welcome you to Dassault Systèmes First Quarter 2025 Presentation. At the end of the presentation, we will take questions from participants first in the room and then online. Later today, we will also hold a conference call. Dassault Systèmes results are prepared in accordance with IFRS. Most of the financial figures in this conference call are presented on a non-IFRS basis, with revenue growth rates in constant currencies, unless otherwise noted. For an understanding of the differences between the IFRS and the non-IFRS, please see the reconciliation tables included in our press release. Some of the comments we will make during today’s presentation will contain forward-looking statements, which could differ materially from actual results. Please refer to our risk factors in our 2024 Document d’enregistrement universel published on March 18. And I will now hand over to Pascal Daloz.
Pascal Daloz: Thank you, Beatrix. Good morning for all of you, and thank you for joining us today. It’s always a pleasure to be here in London with you for the Q1 earnings announcement. I think we had a strong start to the year with subscription and 3DEXPERIENCE revenue driving our EPS at the high end of the expectations. And here are some key highlights: software growth, plus 5%, driven by subscription revenue, plus 14%; and 3DEXPERIENCE revenue, plus 17%. And before to hand it to Rouven for more detail on the financials and guidance for Q2 and the full year 2025, I would like to emphasize three points. The first one, I think, in today’s volatile environment with tariffs affecting many sectors we are well positioned to help our customers to navigate the uncertainty. Second one is in Feb, this year, we introduced the next generation of our customers’ virtual universe. We call it the 3D UNIV+RSES, and this has been extremely well received by the market. And why so because the company eager to integrate artificial intelligence often struggle without having a unified platform to do it, and this is where I think 3D UNIV+RSES comes in transforming 3DEXPERIENCE into the next-generation platform for knowledge and know-how and positioning it as a global IP management platform. The third point is we are actively investing in UNIV+RSES right now, and I will discuss it further. But this is also including some acquisition we did this quarter. One is ContentServ and a strategic investment in Click Therapeutics, but I will come back on this. Now let’s take a closer look of the sector trends and also the key wins. So if you start with the Manufacturing Industries, I think we saw a strong resilience in Q1, right? Transportation & Mobility performed well in China, Japan and North America. It was obviously soft in Europe, as you could imagine. But the key takeaway is we are really expanding in key Chinese players. I mean, just to name few, BYD, Xiaomi, XPeng. And also we are more and more serving the new entrants in these EV markets. More broadly, I think there is something happening also is all the manufacturers everywhere are reassessing their strategy due to the tariff pressures. And I think we are again well positioned to help them to adapt quickly and optimize their supply and the demand chains. Aerospace & Defense, I think we maintained a solid momentum, support by the rising and the continued investment in key programs. You maybe have seen this morning the press release for Airbus, where it was a deal we signed in Q4, but nevertheless we have some contribution this year. [Indiscernible] because it’s for the next decade in order to address the three strategic priorities of Airbus, which is ramping up the production systems, defining the new platform for low-carbon emissions and also coming with innovative and breakthrough ID in defense and the space industry, where you see more and more start-up coming. High Tech, we continue to saw a very good momentum and is driven by many things, the simulation at large, especially for the consumer electronics. But also we see more and more tractions coming from the data centers, where our offer for the energy-efficient infrastructure is extremely relevant. And we renew the Google partnership this quarter, and it’s an extensive one. Speaking about Life Sciences, I think there is a big shift happening in Life Sciences, and it’s extremely visible right now. The shift is from research and development and clinical trial towards manufacturing and supply. And it’s a trend which is really further accelerated by the tariff. So in this context, the demand for end-to-end platform to connect research and development and manufacturing is also rising. And there are some good examples of this, this quarter, Sanofi or Amgen. They are expanding the 3DEXPERIENCE platform across the entire value chains to reflect these evolutions. We also saw an expansion of MEDIDATA with some key players such as Regeneron and new customers like Merck KGaA, and I will come back on this. Infrastructure, as I was saying in my opening statement, in the infrastructure and city sectors, the demand for sovereignty infrastructure is rapidly increasing. And we are accelerating our expansion along this way. The primary focus for us was really on the energy transition, in particular in the nuclear, where we had a strong focus the last few quarters. But now we see more and more demands for defense and security because it’s part of the sovereignty as well, but also building AI capabilities through high-performance data centers with national borders. And it’s really a topic where, keep this in mind, I think we are relevant on multiple fronts. Now let’s look at some key wins for the quarter, and I will start with Transportation & Mobility. I would spoke about it briefly. But we enter into a strategic partnership with XPeng, one of the fast-growing EV manufacturers, driving the future of the smart mobility. XPeng, they are really reshaping this EV landscape with an innovative electrical vehicles and autonomous driving technology. But more importantly, they start now to internationalize the company. And this is where I think we play a key role because they need to rely on supply. They need to rely also on different facilities to build the car. The XPeng G7 – G6, sorry, which is the premium car for the EV is offering really a high-performance things. I don’t know if you know, but it’s specifically rapid charging. You can move from 10% to 80% of the charge in less than 20 minutes, so which is really very unique on the market. And they also offer a suite of premium services. This at a very competitive price. And why they’re able to do this because they master extremely well the cycle time for the development. They are reusing a lot of things. And they came with this new architecture, which is what we call the software-defined vehicle, and they are extremely good at them. So this partnership, obviously, is leveraging the 3DEXPERIENCE to accelerate the innovations, but also the time to market. And I think in a way, they start to set up the benchmark in smart mobility. So it’s a strong signal because even if the sector is challenged by the tariff, by many other problems, the innovation leaders are choosing us to accelerate and scale. Now speaking about Life Sciences. Merck KGaA, which is the German company, has selected MEDIDATA for its new standard for clinical development. And it’s an interesting case because it’s a new logo for us, right? It’s – we had some touch point with them, but it’s really the first time we are selling an enterprise agreement. But it’s also a competitive displacement. And you could imagine with the competitor we used to have in front of us. And why it’s an interesting case also because Merck was subcontracting a lot of studies to CROs, and they took the decision to reinternalize this. And that’s the reason why they are looking to have a platform, which is helping them to streamline the clinical trial, to increase the speed and I think we are the standard in the market, especially for the Phase 2 and Phase 3. The key point also for them was in these new games for the clinical trial, you need to integrate a lot of source coming from multiple systems. The EDC is one of them, which is Rave, as you know. But also you need to collect many other informations coming from, for example, the real-world evidence. And I think with this new solution that we have, so called Clinical Data Studio, we have now a very compelling solutions in order to do this and this has been validated by Merck also. And the last point, which is something I really want you to keep in mind, it’s probably not visible enough from you. One of the key differentiation we have is the domain expertise, right? And in this specific case is really in particular on the oncology. And why this is extremely important? Because when you start a clinical trial, you are saving a lot of time if you start with a brief configures template, if you want. There are many things which are standardized when you are doing an oncological clinical trial, and we have capitalized, over the year, this knowledge into the platform. So I think this is a good example that not only we are defending our position, but also we’re expanding it. Now let’s speak about sovereign infrastructure. And I took this example because, usually, when we speak about Infrastructure & Cities, we spend a lot of time to speak about construction. Here, I’m speaking about national security, defense. And as I was saying in my opening statement, you see more and more start-up coming into this space, which was not at all the case, I don’t know, five years ago. And here is an Indian company. So different startups has started, I don’t know, five years ago, two guys coming from the MIT, and they have been tasked by the government to develop the cutting-edge autonomous drones with an in-house design. So, they have to master completely the design, but also they want to be sovereign from a manufacturing standpoint. So, there is absolutely no dependency on foreign providers. So, it’s a challenge by itself. And this goal has been achieved with speed, which is unique because it took months to develop the drones, usually taking years. And now they also are entering into the new phase, which is to leverage all the breakthrough technologies such as 3D printing, but also precision-grade electronics to become self-sufficient in the production side. So I think half-way I has selected the platform, the 3DEXPERIENCE platform, to scale quickly, to reduce the cycle time from years to months, but also, as I was saying, to have the full autonomy from a manufacturing standpoint. And I think you will start to see more and more example like this into the space. Now let’s say a few word about Gen 7. Back in Feb, during our full year results, I introduced the 3D UNIV+RSES concept, which is our Gen 7, Generation 7 of virtual UNIV+RSES for our customers. And here, you have basically the key pillars. I will not comment them. It’s something I will probably do at the Capital Market Day. But the point I want you to keep in mind is the following. For 40 years, we have been building the virtual world for the real life with one constant things. We are creating scientifically accurate representation of the world. And 3D UNIV+RSES is making a fundamental shift in a way because it’s integrating the modeling and simulations powered by artificial intelligence and special computing with one single platform, which is the 3DEXPERIENCE platform. And in this context, I’m very thrilled to announce the partnership with Apple to bring this vision to life. And you know 3D UNIV+RSES power 3DEXPERIENCE is now natively integrated with Apple Vision Pro. So let’s see it in actions. Please launch the video. [Video Presentation] As you can see, you can now immerse yourself in a life-size experiences, navigating with your eyes, your hands, your voice, bringing the entire team along as matter where they are. And it’s pretty unique because for the last 40 years, we were building these 3D dimensions, but we were at the end hurting ourselves on a 2D flat screen. So, we do not have any more of these limitations. And this is giving, I think, a newer relations, if you want, with the concept of virtual twin because now the virtual twin of the 3DEXPERIENCE platform cannot interact, if you want, seamlessly with the physical world and, same time, with the scientific representations, because it’s probably not the first time you’ve seen these kind of things. But most of the time, it’s fake. I mean, it’s a representation, which has been developed for the entertainment. Here is you have the real science, you have the real accuracy with the physics. And this is pretty unique because with this, I think, we are creating a different way to innovate, to drive the creativity, the productivity, the learnings and all the possible customer experiences. And I think the possibilities are really limitless. Speaking about investment also in Gen 7, in March, we acquired Contentserv, a leading AI-powered product information management, which is the system centralizing all the specifications, the description, the images in all in one place to support the marketing activities. And they are also developing, what we call, the product experience management, which is a system which is tailored to bring this data for each channel, whatever you sell online or you sell physically or you are using a marketplace to do this, it’s really a way to create the syndications and to drive the personalization and the conversions. So it’s a company doing – I mean, they have 200 employees, 1,600 customers across multiple industries, such as consumer goods, retails, electronics, just to name a few. And I think it’s really a perfect fit with our strategy, because by integrating Contentserv with CENTRIC, now we can ensure that from the moment the product is developed, right, it can be enriched and optimized and ready to be converted for the sale. And this notion of the permanent collections is really the one driving this transformation of those fast-moving consumer good industry. And I think this is how we are helping the industry, not only to short term the time to market, but also to boost the sales through the personalization and also the scale. There is another topic we want to address quickly. This quarter, we reinforce our commitment to the patient journey in Life Sciences. We made a strategic investment in a company called Click Therapeutics. They are the leaders in the prescription for digital therapeutics and software-enhanced drug therapies. So what does it mean? They are developing two kind of applications for the patients. One is really to support the patient when is under treatment, and it’s a way to connect, and to collect data, to help to do the prescriptions, and so on. But also they have developed a new category of application, which is what we call the digital therapeutics, which is an application which is curing the things. And they just received FDA approval for the first digital treatment for the migraine. So it’s really a new category we are opening whereby, now, the digital could be used also to treat the patients. It’s not anymore a chemical actions or a biological action you could have for certain disease. You could also use some cognitive simulations, and the applications can do this. This is an interesting thing. I mean, the FDA validated the results, whereby these applications, they are – it’s better than the best drug on market for the migraine, right? So I think this partnership extends the Medidata Patient Engagement far beyond the clinical trial, as you can see. And I think the willingness for us is really to maintain the continuous connections between the patients and through the commercialization and beyond. And I think it’s a critical step for us integrating the patient journey from research and development to what we call the real world care. Now a few remarks before handing the floor to Rouven. I think we still – I’m still believing we have a tremendous long-term opportunity ahead, and we will come back during the Capital Market Day on this. And while the markets are volatile, the need for our solutions has never been greater. Believe it or not, tariff is a fiction, but what we do is a reality. And it’s a reality for our customers to navigate this uncertainty, to use a virtual twin as a way to relocalize, to develop new supplies, to transfer manufacturing plant from one place to another one and it’s something you cannot do overnight. And you need to be equipped to do this in order to evaluate all the options and to minimize your risk. And that’s clearly what we do. And this 3D UNIV+RSES, my view is an ideal environment for the artificial intelligence. Why so? Because it’s trustable and at the end, this is extremely important, most of our customers, they are scared with intellectual property, and they want to rely on a platform which is ensuring the fact that no one is stealing their intellectual property. It’s almost the opposite. We are protecting their intellectual property. And this is also true for us, by the way. The second thing is all the results artificial intelligence is producing should be certified. It cannot be – it has to be trustable, it cannot be a black box if you want. And I think this is where the combination between modeling and simulations with AI is extremely relevant. And this combination, believe me, it’s not an easy thing to do. I mean, it’s not a coexistence of the different technology and platform, it’s how you connect them, how you integrate them on the multiple use cases. So this is our direction. I think we are the trusted partner for all the customers because we help them to strengthen what they do. But at the same time, we are also building the barrier to entry in our space. And this commitment is guiding us as we move forward. So it’s time for me to hand over to Rouven for more financial details and few perspective for Q2 and the rest of the year. Thank you so much.
Rouven Bergmann: Thank you, Pascal, and thank you to everyone joining us here today in person or on this earnings call. Our Q1 results were solid, as you heard from Pascal, and in line with our expectations, driven by strong subscription growth, which was up 14% across key growth areas in the Manufacturing Industries. Operational efficiency was good as we reached the upper end of our EPS guidance, and we also saw strong growth, excellent growth in operating cash flow, increasing by 21%. Now let me turn then to our results in more detail. Total revenue was up 4% with software revenue growth of 5%, as mentioned, driven by good subscription growth of 14%. As you can see, the momentum continues to build. When excluding MEDIDATA, subscription growth was up 21% year-over-year over the last 12 months. This was due to renewals and the baseline effect from large deals, which we signed in previous quarters. Recurring revenue grew 7% and now reflects 86% of software revenue. Services revenue were negative in the quarter, mainly due to some timing effects related to the start of new projects, which we expect to normalize in the year. We also had a lower contribution from Centric and MEDIDATA. Operating margin came in at 30.9%, and our EPS for the quarter was €0.32. Now with that, let’s review how our growth drivers performed. While 2024 set in motion a series of competitive wins and expansion of 3DEXPERIENCE across industries, domains and geos, now in 2025, we expect continued momentum in the adoption of 3DEXPERIENCE driven by AI and cloud. And 3DEXPERIENCE grew 17%, and it now makes up almost 40% of eligible software revenue, up 3 points from Q1 last year, while Cloud revenue for the group was 7% ex-FX in the quarter. We saw strong momentum in the adoption of 3DEXPERIENCE Cloud, which is up 41%. And over the last 12 months, 3DEXPERIENCE Cloud revenue is growing to €270 million. Now this confirms the positive dynamics as our clients across the Manufacturing Industries embrace the potential of our platform and AI. Cloud represents 25% of our Q1 2025 software revenue. Now let’s review briefly how we performed relative to our objectives for the first quarter. Total revenue came in at €1.573 billion, which is €5 million above the midpoint, benefiting from a positive currency effect. Operating margin was 30.9%, about 10 basis points, was slightly below the midpoint. Selective investments in business growth were balanced by continued disciplined expense management. EPS at €0.32 was at the high end of the range, thanks to the solid operating performance, good financial income and a slightly positive currency impact. Now let me turn the focus on our geos and product lines. Europe was up marginally in Q1 on tough comparisons. We saw good growth in Aerospace offsetting softer performance in Transportation & Mobility. Home & Lifestyle and High Tech industries also had a solid quarter in Europe. In the Americas, revenue was up 7% in Q1, led by broad-based strength across the Manufacturing Industries, most notably Aerospace & Defense, Marine & Offshore, Transportation & Mobility as well as High Tech. Following 3DEXPERIENCE World in the U.S., we saw a strong engagement with our customers firming up their road maps to adopt 3DEXPERIENCE and accelerate the use of AI and Generation 7. In Asia, performance was solid, with first quarter growth led by double-digit growth in India, while AP South and Korea were up high single digits. The China – the performance of China was resilient and impacted by high comps when compared to last year Q1. Now let’s review our product line performance. Industrial Innovation software revenue grew 8% in the quarter. AI and cloud act as catalysts for the adoption of 3DEXPERIENCE, and this is driven by the demand of the next-generation use cases to operate in an increasingly competitive and complex world. Looking at the brands. CATIA and DELMIA, they were up high single-digits, while NETVIBES, ENOVIA and 3DEXCITE were all up double-digits. Life Sciences was flat in the quarter. 2024 was a year of transformation to reposition MEDIDATA in our Life Science’s strategy. This strategy was validated by good Q4 renewals with several top 10 pharmas, including several win-backs and platform expansion with our most strategic accounts. Now in Q1, we had a mixed picture. On one side, a continued positive trend in the mid-market across the U.S. and Europe. In large enterprise segment, we won Merck KGaA as a new customer, as highlighted by Pascal. Merck selected MEDIDATA to standardize data management on Rave, leveraging AI and to improve the control over data and speed to market. And this is key to in-source the core clinical trial management system and improve autonomy. On the flip side, CRO partners continue to adapt to a more cautionary environment of clinical trial starts, with booking levels remaining low and revenue contribution decreasing. This impacted MEDIDATA growth by about 1 to 2 points. Despite the volume headwinds, we expanded our market share by over 1 point in clinical trials, driven by a large share gain in Phase 3 and 2. The business dynamic for large pharma is driven by innovation and transformation from lab to manufacturing. We are strategically positioned to cover the entire value chain, leveraging the strength of the 3DEXPERIENCE platform, as evidenced also by our partnerships with Sanofi and Amgen. Now over to Mainstream Innovation, which was up 2% in the quarter after a strong performance in 2024. SOLIDWORKS was up low single digits. Solid bookings and good subscription growth confirm the shift in business model and the momentum of 3DEXPERIENCE adoption. However, we noted in the last weeks of March a more muted quarter-end uptick, which we believe reflects a more cautious purchasing behavior in this changing and more uncertain market environment that started to develop in the last weeks of March. CENTRIC was down on timing differences of renewals after an exceptional year of growth in 2024, and we expect good performance for the remainder of the year. As you heard earlier from Pascal, we successfully completed the ContentServ acquisition in the first quarter. This positions CENTRIC as a business platform for consumer-centric industries. ContentServ adds a real-time feedback loop into the market to adapt product design, pricing and sourcing strategies leveraging AI. Now over to the cash flow. Cash and cash equivalents totaled €4.243 billion at the end of Q1 in 2025 compared to €3.953 billion at the end of 2024, an increase of €219 million. At the end of Q1 2025, our net cash position totaled €1.788 billion, an increase of €329 million with a net cash position of €1.459 billion at the end of last year. Now let’s look what is driving our cash position at the end of the first quarter. We generated €813 million operating cash flow for the first quarter, an increase of 21% versus Q1 of last year. This is an excellent result, and this was driven by positive working capital, as accounts receivables decreased with DSOs down by 10 days versus Q4. It reflects also good collections following Q4 wins. And for further details, I refer to our appendix with a detailed reconciliation, which we published this morning. Cash conversion was 90% from non-IFRS operating income over the last 12 months. So it was a strong performance. This reflects, as mentioned, good collection trends, both on ongoing multiyear partnerships and recent signings. We expect this conversion to be in line with our prior projections in the mid-80% for the full year of 25%. To sum up, operating cash flow was mainly used for acquisitions and investments totaling €287 million. This includes the acquisition of ContentServ for €191 million and €56 million for investments in CapEx. We also repurchased treasury shares for €80 million in the quarter, and we repaid debt for €59 million on short-term loans. Now let me turn to our outlook for 2025. Entering 2025, our approach was to provide a risk-adjusted financial outlook for the year. Since then, the introduction of new tariffs has created a more volatile market environment, specifically with some of our end markets like automotive clients. While the pipeline remains resilient, we could be impacted by delays in decision-making. Overall, our visibility for now remains aligned with the midpoint of guidance. And therefore, we keep it unchanged. As such, our full year target of 6% to 8% revenue growth and 7% to 10% EPS growth remain the same. As it relates to the margin, we decided to provide some headroom to make focused investments in Gen 7. Now its the right time. The year-on-year margin improvement is now 50 to 70 basis points with 70 basis points to 100 basis points previously. As you know, we are a long-term oriented company and a reliable trusted partner to our clients. This is what our customers value the most. In this constantly changing global environment, we see the 3DEXPERIENCE platform in combination Gen 7 as a strategic choice for our clients to be future-ready, as outlined by Pascal. So now for Q2, let me provide some additional insights, which will help you to update your models. Like in Q1, we are guiding to a wider-than-usual range in the second quarter, which is 3% to 7% top line growth. This takes into account market uncertainty and the caution on timing of deal closing based on current information. To complete the picture, subscription growth is anticipated in the range of 10% to 15% and upfront license revenue between minus 6% to 1% cost. For services, we expect 3% to 7% growth, with good bookings from prior periods converting to revenue. In terms of profitability, we expect the operating margin to be in the range of 29.8% to 29.9% and fully diluted EPS at €0.30 to €0.31, up 1% to 5% year-over-year. Now in conclusion, our conversations so far with our customers across GEOs and industries support our growth ambition. However, the recent tariff announcements have increased uncertainty in the macro environment, and the situation will most likely remain dynamic for some time. As previously stated, 3DEXPERIENCE Cloud and AI continue to be the primary growth driver. It has created a shift in the market dynamics, as evidenced in the competitive wins over several quarters. Clearly, customers who are advancing in the adoption of 3DEXPERIENCE benefit more than others. The pace of adoption will support either the upside scenario or potential downside as reflected in our 2025 guidance range. Thanks again for joining us this morning, and now Pascal and I look forward to taking your questions.
A - Beatrix Martinez: We will take questions from the room first.
Balajee Tirupati: Hello, good morning.
Pascal Daloz: Good morning.
Balajee Tirupati: Two questions from my side. Balajee Tirupati from Citi. Firstly, if you could explain the macro assumption you have factored within your unchanged 2024 – 2025 guidance range because after second quarter guidance, which – and second quarter also being probably having an easier comp, the second half would require a meaningful ramp in growth to meet the mid-point of guidance range. So what are you thinking in terms of macro environment for second half of the year? And how much it will be dependent upon closure of large deals that you have in your pipeline? Then on follow-up on the cash conversion in the quarter, which was quite strong, and you have still retained the outlook of mid-80s in cash conversion for the full year. So is that – are you factoring conservative on account of environment or some of the uptick in receivable that you have seen could actually be coming back to – coming lower in coming quarters? Thank you.
Rouven Bergmann: Thank you so much, Balajee, and I think I’ll take the two questions. Pascal can add to your perspective. Yes, so what is factored into this guidance range? As I said, it reflects a detailed review of our pipeline. I mentioned entering the year, we positioned the guidance to be risk adjusted. Since then, there is more volatility into news. However, structurally, the pipeline remains unchanged and solid. From an end market standpoint, we see – and that’s – we can right now look into the second quarter, right? We see confidence in our business in the Americas. We see good diversification with our end markets in Asia. We have a solid performance in Asia across several GEOs. And I think where we see the softness, right, in the first quarter was in Europe. And I think for Europe, we will factor that softness also into the second quarter guide. However, as you also see – saw documented this morning by the strong relationship and strategic partnership we are building with customers like Airbus, you see the presence and strength we have in the European market, which should allow us to also grow in an environment like this. So I think it’s a balanced view. We have taken the possible upsides, but also the possible downside swings into the Q2 guide. That’s why we have a larger range of €60 million of 3% to 7% on the top line. We expect – I mentioned SOLIDWORKS. We saw some muted performance in the last two weeks. But since then, in April, we saw healthy booking levels popping back up. So I think there was an overreaction, to some extent, that happened in the end of March that is starting to normalize. So we’re quite confident, and we have visibility as much as possible on the SOLIDWORKS part to be around mid-single digit growth. That is our baseline expectation. We see CENTRIC to ramp up in the remainder of the year. Q1 was a temporary effect. So that will be a positive in Q2 compared to Q1. And the performance of the industrial sector, I think it’s broad based. It’s resilient. It’s across GEOs, it’s across product lines, and it’s 3DEXPERIENCE CENTRIC, and it’s very much aligned with the Gen 7 market introduction. So we are leading the transformation of many of our large industrial customers. So these are some of the assumptions – the core assumptions that are factored into this outlook and why we are feeling that the guidance also in this new environment covers the spectrum of outcomes with a focus on the midpoint. Pascal, do you have additional points on cash flow?
Pascal Daloz: No.
Rouven Bergmann: To the cash flow, the conversion rate was strong with 90%. We have had benefits in the first quarter also from large multiyear deals that we signed in prior years that we collected in the first quarter as planned. So there is good healthy momentum on that. This will normalize through the rest of the year. We have some counter effects on the operating cash flow coming from tax. There were some incremental regulation and taxes that are specific to France in 2025. There is surtax. And plus, there is an incremental employer contribution on stock-based compensation, which is quite significant. Its 10 points higher than what it was previously. That in aggregate translates to about €50 million of incremental cash tax to be paid in 2025, which is factored into this outlook. So there are some puts and takes. I think from an operating standpoint, we see – as you rightfully said, we see an improvement, while we also have to offset some non-operating working capital pieces from tax. Some might be temporary. Some might continue to be the case, depending on how those tax rates evolve.
Balajee Tirupati: Thank you.
Rouven Bergmann: Thank you.
Fred Boulan: Hi there. I’m Fred Boulan, Bank of America. I’m just going to go back on the first question around the backdrop in general. So Q1, we saw licenses down 10%. I think for Q2, you also guide for pretty soft licenses. So can you discuss a little bit how conversations with some of your key customers are going? And are we seeing some kind of push-outs? And then coming back to the guide. So we started with 4%. You’re guiding mid-point for next quarter, 5%. So you need basically to do high-single digit growth in the second half of the year to reach mid-point. We’re going to start to comp – I mean, Q2, Q3 are fine, but Q4 is a better quarter. So that seems a big recovery in a fairly uncertain context. So interesting to hear what are the different moving parts you think will really improve in the second half? And maybe a question specifically on MEDIDATA. How should we think about the dynamics there from a competitive standpoint, from a demand standpoint and revenue dynamics through the year? I think we had a previous kind of ambition to be kind of mid-single digit for the year. Looks more challenging at this juncture, so any comments on that would be great. Thank you.
Pascal Daloz: I start, Rouven.
Rouven Bergmann: Yes.
Pascal Daloz: At least on the first part, and I would likely to address the H2 for the contribution for the guidance, maybe also the specific point for the MEDIDATA.
Rouven Bergmann: Yes.
Pascal Daloz: The conversation with the customers are still going on, and we have not seen pull back – broad-based pullback, clear, right? As Rouven was explaining, we are, nevertheless, a little bit careful from the delay standpoint because in this uncertain environment, sometimes, the decision can shift from one quarter to another one. That’s the reason why Rouven basically enlarged the range. And also this is the reason why in the guidance, you see less contribution from the license because, usually, the license are coming from the large deals where you have upfront payments as part of it. So in a way – the way we are building the guidance is also taking into account this resiliency model. Second thing, and nevertheless, there is also – there is something changing in the customer conversation, which is where they want to spend their money and how they want to spend their money. And it’s very obvious right now that if you do not have an impact on the productivity, if you are not helping them to navigate this uncertainty, if you are not helping them to transform, but same times to keep the efficiency in place, you are less relevant. And a takeaway of the previous difficult moments we saw in the past, it’s not a bad time for us because this is causing certain customers in their decision process. So – and we have enough experience on the management to use this as basically a catalyst to form certain decisions. The only unknown, as I was saying, is the timing sometime, which is difficult to predict, especially for the large deal. The real part, which is really sensitive to the macro, I think, is really the volume part. That’s the reason why Rouven was mentioning that we saw some slowdown in the last two to three weeks of Q1. But April is back. So in a way, I think we – the feeling – I mean, the perception we had right now is these overreactions is behind us. Now we are back to the normal, and it’s really broad-based. That’s what I can say from basically the customer conversation standpoint. On the H2 guidance?
Rouven Bergmann: Yes. So I think, Frederic, I’m going to use some of the points I mentioned before. I think first part to highlight is the resiliency of our industrial manufacturing sector with the 3DEXPERIENCE cycle that we are going through, while also keep in mind that some of the deals that we signed last year have ramps that are starting in the second half of this year, which you don’t see contribution in Q1, for example. Second, I mentioned Centric. We are investing in Centric, as evidenced by the acquisition. The team had a fantastic 2024. Their pipeline remains strong, and they’re very relevant also in times like these because their competitive intelligence on pricing and the integrated platform is very key to these consumer-centric industries. So we already see that, what they are sharing with us on the conversations they have with end customers, and it’s promising. You’re right, we have a baseline effect in Q2 and Q3, which will be favorable. Q4 is a step-up, but that’s normal. We always have a Q4 step-up. So not too worried about this at this point. We mentioned SOLIDWORKS, the momentum, I think we are seeing a rebalancing in April and are quite confident that our – the guidance that we had laid for the year on SOLIDWORKS is robust. And what we also see is an increasing adoption of 3DEXPERIENCE SOLIDWORKS. So when you look at the broader scope of this market segment, it’s more than the volume. It’s also an expansion to the platform that is contributing. And it’s adding to our competitiveness. So these are the building blocks, basically, Frederic, that give us the visibility in terms of step-by-step acceleration to MEDIDATA, because MEDIDATA plays a part in this acceleration as well. The performance of MEDIDATA clearly for Q1, I categorize it as a mixed picture. We had – we continue to see a good trend in the mid-market where our solution is absolutely the leading solution across the segments in Europe and the U.S. But we have – we saw a further deterioration of the CRO environment in Q1, with bookings levels that are – were lower than expected and revenue decreasing from this segment. And the strength in the mid-market offset that level of decrease with the CROs. The mid-market represents approximately 30%. The CROs represent approximately 30%. So the net of it was zero. And within the large enterprise, why we did very successful renews in 2024, also, those ramps are coming in the quarters to come in 2026 for the expansion because these are multiyear five-year contracts we signed in 2024. So customers take time to ramp into them. And the signature with Merck, of course, is not part of our Q1 numbers. It’s all going forward. And then, of course, the bigger picture of Life Sciences is we are expanding our value proposition outside of MEDIDATA. Click Therapeutics is great. It’s evidence to that, but also the work we do with Sanofi and Amgen to connect the lab to manufacturing, to bring that consistency and continuity. They need to manage the drug life cycle in a more cost-conscious environment, right? And I think we are leading edge there, too. So there’s a lot of positive things that we are implementing that are not yet visible in our numbers. They are right now pressured by this mix shift in clinical trial starts. But also, here, the optimist in me says, over time, this will balance out, as more of the clinical trials that are starting in Asia are coming to Europe and the U.S. to enter the U.S. and European markets. We should benefit from that as we always have. So these are the dynamics in which we are. Q1 was lower than expected. We’ll have to see how Q2 shapes out. But for the second half of the year, we still expect an acceleration on the Life Sciences and MEDIDATA part.
Unidentified Analyst: Hey, Pascal. Hey, Rouven. I have two from my side. Maybe the first one, Rouven, you’ve obviously given us some helpful points. The licenses is obviously the kind of the most variable aspect. But you also have a significant recurring revenue business, and subscriptions were actually quite good. I think if I’m not mistaken at the start of the year, you had said that you had something like 80% coverage on the sort of subscription or the recurring part of the business. Can you give us a sense of how that sort of visibility has changed? And as you sort of think of the guidance, almost – should we think of at the low end of your guide of kind of 6% for the year? What sort of not included in there, any kind of – if you think of some of the larger deals? And how should we think of that as a kind of – is that the right floor? Or what would it take to kind of fall below that in terms of your ability to deliver the top line for this year? The second one, Pascal, was, obviously, you touched on this that in these kind of times, there’s also an opportunity. And with all the noise around tariffs and trade wars, people are thinking about their supply chains and reconstructing. Maybe talk about how this could be a benefit for you and but also how quickly your customers can kind of spend with you. And to what extent does 3D actually help? Because, obviously, if you have the platform in place, how agile can they be? And therefore, what’s the kind of the opportunity set for you? Thank you.
Rouven Bergmann: I’ll take the first. Thank you, Mo. You are very right. The subscription visibility we have is – was good coming into the year, and it has improved since then, which you see the good numbers of Q1. So this run rate continues to build. We were saying we were in the 80s. We have improved since then, which we should, but it’s good momentum for the first quarter, and that’s also why we are seeing this trend in the guidance. The volatility, right, on the license part is clear. And it’s also connected to SOLIDWORKS. In the last two weeks, they had an impact on license as well as the performance of 2% growth in China on a high comparison base. It’s understandable. But nevertheless, that also had an impact on the license part for the quarter. The last point on the – what’s in the 6% or not in the 6% growth at the bottom, this scenario doesn’t reflect the potential of the large deals we have on our pipeline. Clearly, we need large deals to accelerate. That has always been our model. We have reflected that moderately and risk adjusted. But the path to the midpoint and high end is through the large deal – large deals and the acceleration of adoption of 3DEXPERIENCE, as I said before. We’re – we see it in the industrial sector. It’s strong, it’s 8% growth for the quarter. In order to be at the mid- to high end, we also need to ensure that we get the Life Sciences business in a range of mid-single-digit growth, which, after the first quarter, is now a bit more challenging. So these are the balancing factors that we have to manage.
Pascal Daloz: Regarding the second question, Mo, I think we are in the same situation we used to be. When you remember, we were facing this hyperinflation a few years ago. And if you remember at that time, certain customers, they realized that with the 3DEXPERIENCE platform, they have everything in their hands to simulate the impact on the hyperinflations on all their sourcing. So it’s exactly the same things right now. The beauty with this is a way for us to expand outside of the traditional engineering and the manufacturing domains, leveraging the procurements, the sourcing, finance, your cost control, all – now the public affair probably also, all the one who needs to get access to advance simulations to understand the impacts on the real business. So to answer to your second question, which is related to the timing, I think we have 90 days. That’s what Trump is saying, right, 90 days to showcase what we can do. And we started to do a webinar. And by the way, just to give you an anecdote, we – Centric organized a webinar a week ago specifically on this topic. As you could imagine, there are certain companies in their space which are heavily impacted because they produce most of what they do in China. Usually, when they organize the webinar, you have 200, 300 participants. Last week, they had 3,000 participants. So the topic is really hot, it is really hot. And again, it’s a way for the people to look at what we do in a different way and to link more and more with the business side. And if you remember, when we introduced the platform on the market, it was – we characterized this being the business platform. It took some time for the people to realize that what they have is giving this ability to do it. But now I think it’s really a concrete. So the virtual win, my view is the only way if you have to reorganize your supply, if you have to transfer your manufacturing plan, if you have to change your product portfolio, to localize the content, right? As you may know, you could have escaped from the tariff if you have more than 20% to 30% of your content being local. I think these are the scenarios you cannot evaluate given the complexity of the industrial network without having the complete virtual twin. And you need to connect also with the real-world evidence, which is what the Gen 7 is bringing to them. So again, 90 days to showcase and to demonstrate that not only we are capable, but we are engaging. And we already have some customers who are doing this, right, especially in the auto sector, as you could imagine.
Michael Briest: Thank you. Michael Briest, UBS. I mean, maybe just a slightly directed one is, what is your assumption on the tariff scenario? Do you assume we go back to where we were before Liberation Day, that we have the announcements of the extended tariffs? Or the 10% is the norm from July onwards?
Pascal Daloz: I think it’s difficult to predict. And discussing this topic almost every day with the customers, we do not have a consensus. Personally, I believe it will not be back to where we used to be, but it’s probably in between.
Michael Briest: So what’s supposed to happen on July 3 or whenever it is?
Pascal Daloz: Probably right around 10.
Michael Briest: Okay. And then just the Americas...
Pascal Daloz: Again, keep in mind that this topic is a concern for our customers, but the digital services are not part of it, right? We are not in the scope, for obvious reasons, because U.S. are exporting a lot. And I think it’s not the interest for them to do this. The key question for us was maybe the reaction from the EU could basically put some reciprocity on this kind of category of services. But my understanding right now, they are concentrating much more on the taxes more than the barrier, if you want, the tariff. Why so? Because this is the real battle is to ensure that when those guys, they do the revenue in Europe, in certain countries, depending on tax the way they should. And this is the real battle behind. So just keep this in mind.
Michael Briest: Thank you. And just a quick one on the Americas. It was good performance in Q1, particularly if we think that sort of Life Sciences was flattish, and that’s got a heavy weighting there. The American economy – or the U.S. economy is looking pretty weak now. Is that going to continue to outperform? Because you sounded like you’re cautious on Europe for Q2. Can the Americas stay in the sort of high single-digit range? Thank you.
Rouven Bergmann: Yes. I think, Michael, the key point here for the Americas is that the performance was broad based across – yes, we have a big footprint in Aerospace & Defense, and that’s a very resilient industry. It’s in high demand now. Transportation & Mobility, many of those clients, as we are learning through the tariffs, they are very exposed. So they are working very hard to rebalance their supply chains and optimize their operations. And so here, discussions are good. We don’t see that there is a change in behavior, Michael. High Tech, we had several really good contracts that we were able to close in the first quarter in very critical sovereign industries with – or parts of the U.S. economy, for example, in data center, which gives us also confidence that we are really a relevant player in this segment. So we are fairly diversified while, of course, our footprint in Aerospace & Defense is the strongest in the U.S. So Centric also has a good performance in – or a good footprint in the U.S. We think from our current perspective, the – we rather expect an improvement in Life Sciences and a further deterioration in the Americas. So I think that I could say we reached the bottom there. So the Americas, I think, is in a good setup to continue to show this growth resiliency as we’ve seen in the first quarter. Last year also was not so strong for the Americas. So the baseline also helps.
Pascal Daloz: Maybe one additional comments, Michael. Where we were seeing some softness is in industrial equipment, and it’s visible with SOLIDWORKS, right? But if you step back, this is probably where we could expect some growth because as more – the more you internalize the productions locally, the more you will have to basically buy equipments, and they will be locally produced for most of them. So we – and this is really where I think it’s more a volume business for us than the new large deals businesses where we have – I mean, for the large deals, as you say, Rouven, we already have a lot of visibility. That’s not the point on this. But I think discussing with many industrial company who have this plan really to display some competitive – some production facilities in the United States, they want to source locally. And I’m seeing the sentiments and the confidence from this segment on the industry to be much better than it used to be a month or two for this reason. Questions from the webcast now?
Beatrix Martinez: Yes. We will take questions from the webcast now.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Gianmarco Conti from Deutsche Bank. Please go ahead sir.
Gianmarco Conti: Yes. Hi there. Thank you for squeezing me in. So I have about two. Maybe the first one, could you share some more financial detail on the Airbus deal, if it’s going to have a material impact to H2 numbers? Or is this more of a 2026 theme? And does this include CATIA V6? And the second question would be, given you have narrowed down your EBIT margin guide, could you kindly provide some more detail on your Gen 7 investments? In what form will these take place? Will there be more R&D resources? Or is that an infrastructure spend? Thank you.
Rouven Bergmann: Yes. Thank you. I will start for the first one. So the Airbus press release, it goes really back to the deal we signed in the fourth quarter. While also to be noted that in the first quarter, we did a further expansion to this. So we cut another deal we signed in Q1. As it’s very well laid out in the press release, this is a very strategic and expanding partnership, where we essentially are doubling the amount of users on our platform and are expanding our reach across the entire portfolio and businesses of Airbus. And of course, there is more expansion opportunity from here onwards, which we already have documenting in the Q1 signing. There’s more possibility and more potential. In terms of the structure of the deal, this is a hybrid structure. It contains on-prem and cloud. So there is a clear path to the cloud with Airbus. It’s a subscription recurring deal. So there is recurring elements that, going back to one of the previous questions, gives us the visibility on the subscription part for 2025, but beyond that as well. And I think that’s the way to think about it. Doubling the amount of user is a good indication for the revenue proxy potential that we see over the duration of the contract. The contract is a five-year...
Pascal Daloz: Five plus five.
Rouven Bergmann: Five plus five year contract. Now to the margin. This – the margin guide gives us more headroom for investments. The majority of that will be – it’s a combination of R&D and infrastructure related. We are doing infrastructure-related investments in conjunction with the demand that we see with our clients. And I think we have balanced that fairly well. As we see the demand of customers increasing, we are putting the investments in place to ensure we are balanced. So we do not have to go too much in advance with this. On the CapEx side, you saw our CapEx fairly flat year-over-year in Q1. We expect some moderate growth in CapEx throughout 2025, but this is reflected in our strategy and plan.
Pascal Daloz: Maybe an additional comment related to this infrastructure because it’s probably one of the assets you are not considering the right way – sorry, it’s 3DS OUTSCALE. So you remember 10 years, 15 years ago, we started our own development for the cloud. And we did it almost the same way than AWS did at the same times, which were the first initial request for us was to equip our own development with the cloud infrastructure. And then we scale this infrastructure as a way to operate the software when we are selling cloud on behalf of our customers. And we do it 50-50 between AWS and OUTSCALE. But what is happening since maybe two years, we see more and more third-party using this infrastructure independently of what we do. And why so? Because the sovereignty is becoming a key topic in certain country. So why I’m saying this? Because you should not see the investment we do in the infrastructure only as a cost. It’s also an investment to drive additional revenue on what we do. And it’s really valuable because if you look at the big discussion going on, on the sovereignty for artificial intelligence, for example, right now, I was participating to the AI summit a few weeks ago in Paris, where you have all the players worldwide, and the key topic was the AI capacity we have in Europe in order to have the full autonomy. We are part of this game. We have an infrastructure, which is up and running, scaling. We signed, by the way, an agreement with Mistral AI, which is now a core module we have in our offer to offer this AI as a service with a sovereignty capacity. I mean, please see this as also an investments and a new business line rather than to see it only a pure cost. That’s my point.
Operator: The next question comes from the line of Toby Ogg from JPMorgan. Please go ahead.
Toby Ogg: Yes, good morning. Pascal and Rouven thanks for the questions. Couple for me. Maybe just firstly, just on MEDIDATA, could you help us with what the growth was in Q1? And then are you expecting much improvement in the second quarter? Because I guess, if there isn’t much improvement, then that would imply quite a significant 2H acceleration to hit that mid-single-digit 2025 guidance you indicated back in January. So could you help us with that? And then just one housekeeping, just on the tax rate. Looks like the tax rate embedded in the guide is now 17.8% versus 18.5% previously. Can you just help us with what’s happening to the tax rate that keeps driving it down? And then how we should be thinking about the right sort of sustainable tax rate that we can anchor around going forward? Thank you.
Rouven Bergmann: Okay. Toby, on Q1, regarding MEDIDATA, I think I mentioned it was flat. For the second quarter, I think I indicated to that, depending on the activity we see through the CRO partners, I think that will determine the outcome. While parts of our business are in growth mode, the CRO business is not, and that has been the offsetting factor. As it relates to the full year, we gave an indication. I wouldn’t call that a guidance, to be clear. We gave an indication on what we expect for MEDIDATA and Life Sciences. And here, of course, we have to factor in the slower start. However, the potential to accelerate throughout the year is still there. And that we’ll have to see where we will be at the end of the year. We’re definitely seeing the path to growth. That’s what’s happening in 2025.
Pascal Daloz: Maybe one additional comment, Toby. We deliver – I mean, it was – we delivered a flat growth. And the reality, we were expecting 1% growth. So keep this in mind. At the end, we are not completely out of the range, right? And I think Rouven gave to you a lot of detail about where the miss was coming. So for Q2, anyway, we were expecting a slight growth. So let’s see if we have the same effect. For H2, the topic was a little bit different because last year and since multiple quarter, we have good bookings, right? And the bookings are growing extremely well. So this will contribute, and it will start to be materialized in H2. The key point for us is much more to be sure that we do not have any more drawdown coming from the CROs, which is cannibalizing part of the growth, which is coming from the booking and the new booking we signed last year, which is really the key topic right now. But remember, it’s 0% versus 1% growth.
Rouven Bergmann: Okay. And on the tax rate, I think there’s simply the two elements to this. The first is that we are seeing – we have factored in benefits from some of the IP box that certainly to our French IP that we are benefiting from on the non-IFRS tax rate. And then going through some discrete items for our tax planning in 2025, where we reflected some more favorable outcome, and this is now factored into the guidance. I don’t think that there will be much further updates from here onwards. I think it’s pretty solid. And I think, going forward, we’ll have to see. I want to be careful to provide too much visibility into the next years in terms of the tax rate because there’s just too much going on in terms of new regulation and taxes being introduced that could impact our current rate. But I think we need to discuss that at a later time when we enter into 2026. But for now, for 2025, I think we have made this slight adjustment reflecting these two factors. Thank you.
Toby Ogg: Very helpful. Thank you.
Operator: The next question comes from the line of Nicolas David from ODDO BHF. Please go ahead.
Nicolas David: Yes, good morning, Pascal. Good morning, Rouven. Thank you for taking my questions. I have two. The first one is, I would like to understand better the deviation in Q1 regarding the new license and the split between what is really linked to like end of March uncertainty overall, but also what is linked maybe to an accelerated move to subscription because you have a very strong subscription base. So did you see a mix more in favor of subscription at the expense of licenses as well? And finally, also some potential deals, which slipped, but unrelated to the macro. I remember that in your license guidance for Q1, you were expecting a large deal in industrial equipment. And relating to this last point, do you factor the signing of it in Q2? Or do you think it’s more for the end of the year? And my second question is related to Centric to understand the magnitude of the swing, we should expect them of growth. Should we expect Centric to go back to nice double-digit growth as soon as Q2, excluding ContentServ, obviously, meaning organic? And does Centric affect the licenses line or it’s just the subscription? Thank you.
Rouven Bergmann: Okay. Nicolas, I go through your points. Thank you for the questions, first. So the deviation to the new licenses really comes from two factors: one being SOLIDWORKS, which I mentioned, there was this delta of two points to three points at the end of the quarter, which was pretty much license related. And then the lower cost in China of 2%. Some of it was factored into the guide, but not to the full extent. This is really the big difference. As it relates to the deals, I think we made a comment during our Q4 earnings call that we have large deals in H1 versus H2, and that the pipeline mix is more favorable like the year before. Those large deals have not been signed in Q1, and they are still in our pipeline. So we will have to see what is possible in Q2 versus Q3. I think the time we will see that, but they’re – this is definitely for us a potential. It’s not factored into the guidance scenario at the low or mid. This would be an upside. And how are we going to recognize that deal if still remains to be seen? I can’t comment yet what is license and subscription as it relates to that. I think we will have to see that as it – as we finalize the structure.
Pascal Daloz: Maybe one additional comment. Most of those large deals are in the defense and space. Why I’m making this comment? Because you could imagine in the current environment, the question for them is not to do it or not, right? So keep this in mind.
Nicolas David: Yes.
Rouven Bergmann: So on – back to Centric, to your point here, on Centric, we’re expecting mid- to high-teens growth. The acquisition of ContentServ really has a small effect on the revenue. Nothing in Q1, and it will start to pick up a bit in Q2. But it’s a fully recurring and cloud-based business. I think this covered pretty much all your points.
Pascal Daloz: The question was what should we expect for Centric.
Rouven Bergmann: Yes, mid- to high teens, yes.
Nicolas David: Mid- to high teens for the year or starting Q2?
Rouven Bergmann: Starting Q2.
Nicolas David: All right. But this is mainly organic, I guess.
Rouven Bergmann: As I said, the contribution of ContentServ is small. It’s a cloud business. And so the majority is organic, yes.
Nicolas David: All right. Thank you very much.
Rouven Bergmann: Thank you.
Operator: The next question comes from the line of Laurent Daure from Kepler Cheuvreux. Please go ahead.
Laurent Daure: Yes. Good morning. Thank you. I have two as well. First question is on your comments on the investment in Gen 7 that ends a little bit on the 2025 margin. I just wanted to clarify this. For the years to come, do we have to worry on the margin trajectory because you may be planning to invest more than initially expected? Or is this impact mostly a 2025 impact? And the second question is back to the sales guide for the year, targeting the midpoint, 7%. If you look at the situation today versus when you initiated the guidance, is it fair to say when you look at the three building blocks that maybe Life Science could be attached on the low side and offset by industrial innovation? Is it the right way to look at it? Or do you have more to say about that? Thank you.
Pascal Daloz: Thank you, Laurent. Do you want me to start with the first one?
Rouven Bergmann: Yes.
Pascal Daloz: Laurent, we are investing any way on a yearly basis on research and development, and it has been part of our model since day one. But there is something you should consider in 2025. You notice that most of our competitors, they are linear of, right? Autodesk, they lay off 10%, 9% of their workforces. CPD, the same. We are not. And we are not because there is something I learned over the 25 years at Dassault Systemes is when it’s a tough time that you can do the best hire. And I think it’s the time to hire the high profile of people we need in the new domain, such as artificial intelligence. And it’s coming at the right time because it’s coming at a time where we are launching this new generation on the market. So that’s the reason why we want to have this flexibility this year in order to be able to attract new type of people we usually do not have in our populations because most of them are coming from the modeling, simulations. And I believe, they learn AI. We need to accelerate on top of this. So keep this in mind, Laurent. That’s the only reason why we have this peak in 2025.
Rouven Bergmann: And we are still forecasting good progression of 50 to 70 basis points. So I think it is strong.
Pascal Daloz: Yes. So the trajectory is maintained.
Rouven Bergmann: Yes, and that will be also the guiding principle for the years to come. On your second question, I think you framed it well. There is some pressure on the assumption around Life Sciences. And I think we see the good momentum in the Q1 results reflected in Industrial Innovation with the Gen 7 launch and the proof points we have where we will be able to offset some softness on Life Sciences, if at all. But that’s clearly the – how we think about it. I think you have covered that well. Thank you.
Laurent Daure: Thank you.
Operator: Your last question comes from the line of Ben Castillo from BNP Paribas. Please go ahead.
Ben Castillo: Good morning. Yes. Thanks for taking my question. Just if we could come back to the license component, please. If we take the Q1 performance, the Q2 guidance, looks like in H2, we need to be up in the mid-teens, the license growth to reach the guidance midpoint for the licenses. So I know you commented on the subscription coverage, and the visibility there is pretty good. But perhaps, can you just go back on the visibility on this license component? How do we get comfortable with the notion that, that acceleration embedded? Perhaps you can quantify the mix of how much of that comes from these large deals with upfront component. How much is based on China recovering? How much is based on SOLIDWORKS maintaining that early April momentum? If you can just share some thoughts on the various moving parts, that would be helpful. Thank you.
Rouven Bergmann: Okay. Ben, thank you for this follow-up question. I mean, the fact is the license part is the more volatile part. I think you have to – you look at this in the context of the progression and the growth we are seeing in subscription and the recurring revenue base, which is now 86%. And by the way, the subscription revenue is now over 50% of the recurring revenue. So we reached that level as well, where subscription is really taking share. And many of our existing contracts are converting from an upfront maintenance model into a recurring subscription model with growth. So I think you can’t look at the license performance in isolation of this trend, right, because, yes, there is license demand in some end markets. That can be volatile, as we saw with China as well as with the SOLIDWORKS space that was – that there was a little pullback in Q1, which we expect to come back in Q2. So that’s part, for example, of the recovery of license that we expect in Q2. But also the mix then with China having a higher contribution, in the second quarter, we expect higher level of growth than in Q1, which will support our license guide. So these are the – essentially the two major components. And then large deals can have some license component and upfront revenue recognition. But again, I can’t preempt that. So we have – that’s why we give a bigger range that’s factored in that. And I think we are – we have covered that well in the Q2 outlook.
Pascal Daloz: By the way, I will use the questions to make one comment. I’m not sure we’ll continue to report the split between license, subscriptions and maintenance the way we do it. It was relevant when we were basically migrating the subscription to the license. Now you see, the growth is coming from subscriptions. It’s not a surprise. So why I’m saying this is because I think we are the only one to give so much details. If you look at all of our peers, they combine the software revenue. And at the end, you – it’s an aggregate number. So it does not mean I want to hide something. That’s not my point. My point is I think we should again probably take these decisions to evolve in the way we do the reporting. I will not – we will not do it for 2025, but I think we will prepare ourselves to do it for 2026 when I know I’d probably take you by surprise, but this is where I am because, again, I was the one who made this – we started these transitions when I was the CFO from subscriptions to license. And it was relatively relevant for me to make the splits for you to have an understanding of the moving parts. But now I think you know license is decreasing, right? And the vast majority of the deal we are signing are subscription base, including the large one. And the upfront component is anyway a subscription. So where is the point to split it? Now it’s time to conclude. So thank you for your participation, and always a pleasure to see some of you in person in London. I hope we will be able to see you at the Capital Market Day the 6th of June in person. So the topic will definitely be the Gen 7 and how Gen 7 is contributing to our long-term strategy and long-term plan. That will be the topic for the discussion. So thank you so much. See you soon.
Rouven Bergmann: Thank you.